Operator: Good afternoon. My name is Nicole, and I'll be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation Q3 2014 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Dodge, you may begin your call.
R. Stanton Dodge: Thanks, Nicole, and good morning everyone, and thank you for joining us. Jason is out today, so this is Stan Dodge, I'm the General Counsel here at DISH. I'm joined today by Charlie Ergen, our Chairman; Joe Clayton, our CEO and President; Tom Cullen, EVP of Corporate Development; Bernie Han, our COO; Steve Swain, our CFO; and Paul Orban, our Controller. Before I turn it over to Joe, we need to do our Safe Harbor disclosures. We ask that media representatives not identify participants or their firms in your reports. We also do not allow audio taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make, wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. Given that the AWS-3 Anti-Collusion rules are in effect, we will not be talking about wireless today and we will not answer any questions about wireless. I suggest that you refer to our prior earnings calls and public filings for information related to our wireless plans. With respect to the AWS-3 auction itself, all we can say is that DISH filed an application to participate as a potential bidder for those spectrum assets and that the FCC, on October 30, found that DISH is a qualified bidder for the auction. And with that out of the way, I'll turn it over to Joe.
Joseph P. Clayton: Thanks, Stanton. Good afternoon to those of you on the East Coast, and good morning to our West Coast participants. Our first order of business today is to introduce our new Chief Financial Officer, Steve Swain. Now Steve has been with DISH for nearly 4 years. His first management position was as our Vice President of Corporate Financial Analysis and Planning. Most recently, he served as our Senior Vice President of Programming. He has all the proper education and experience to be successful in his new senior executive role. Now after a discussion with Steve, we thought that we'd try something different on today's call. Since most of you all have undoubtedly read our third quarter 2014 financial results press release or 10-Q, we will immediately open up the phone for your questions. The first part of the Q&A session will be for our Wall Street analysts, and then time permitting, we'll have some time for the press. With that, we'll get started. Nicole?
Operator: Your first question comes from the line of Marci Ryvicker from Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2 questions for Charlie. Charlie, you've always provided a really honest assessment of the core business. So can you speak to the health, I guess, of the pay-TV business, and then -- in general, and then to your satellite business, specifically? And then the second question is, we're reading about LightSquared and your potential interest should this plan go through. How would you think about monetizing your investment in LightSquared if you get it?
Thomas A. Cullen: Marci, this is Tom. Let me step in here. As you and, I think, everyone on the call knows that DISH is not a party to the LightSquared transaction. It's a private -- Charlie has a private investment in LightSquared. And so I don't think this forum is appropriate for the Q&A regarding LightSquared, and I'd appreciate everybody's understanding on that.
Charles W. Ergen: Okay. So this is going to be a great call. We can't talk about a lot -- few things. But -- because of the auction and other things. But on the core business, I don't think anything's changed in terms of what we've been saying for the last 3 or 4 years, which is the pay-TV business, as you know it from MVPD linear kind of business, is a mature business. It continues to, in a way, surprise us that it has held up as well it has and continues to be a solid business for DISH and continues to hold up pretty well. There's certainly some variations quarter-to-quarter, depending on what other people do in the marketplace or what we do, whether successful or unsuccessful. But it's been really, really pretty steady for the last 4 or 5 years for us, with some pressure on margins, obviously. The -- but what's different maybe than 5 years ago or 4 years ago is now, there is -- for us, we think there's a pretty clear path to actually grow the business. So instead of a mature business or maybe even a slightly declining business, we think we can actually be in a growth mode. And there are a couple of ways that we can do that, that we can talk about today. One is the advent of OTT, where I think we're well positioned. And that -- and it will enable us to go after customers who aren't paying for TV today. So working with our programming partners, we go after people who aren't in the pay-TV universe today, and we know that that's growing by 4 or 5 million a year and probably will continue to grow and probably accelerate. The second thing is broadband and general satellite broadband, first and foremost, where that's been a pretty good business and where we made a transaction that we think positions ourself to take some of those economics and some of those efficiencies with EchoStar, which you may have other questions about. And don't get too surprised by the lower number this quarter, the lower trend the last couple of quarters because there's various reasons for that, and those will be -- with new satellite launches in the industry in the next 1.5 years, you're going to see some acceleration there. And then -- and maybe Tom will talk about later, we think that the fixed broadband business, where we're trialing with both nTelos and Sprint, is -- we're cautiously optimistic that that's a real business as well. So we think we have an opportunity to grow the business beyond wireless and just in our core business. And our linear business will be mature, will be under some margin pressure, but it's pretty steady. We're fortunate that most of our -- that a lot of our customer base is rural, and they're not as affected as perhaps some of the urban dwellers by the competition in the marketplace.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I just have a follow-up on the satellite broadband comment, because as you said, subs came in lighter. Is this a function more of capacity or you're just not marketing the product as much?
Charles W. Ergen: Joe, do you want to take that?
Joseph P. Clayton: Well, first thing, in some of the geographic markets, we are capacity-constrained, places like Texas, even my home state of Kentucky. In that instance, we have pulled back on some of our promotions, especially on promotional discounts, and indeed, trying to raise the credit score since we are limited in supply. So those are the basic factors kind of throttling back some of our broadband growth that we saw last year, when there was a great deal of pent-up demand.
Charles W. Ergen: This is Charlie. I just would add that what happens in satellite broadband is you end up with about half your beams fill up pretty quickly and about half of your beams don't fill up, and some beams there's very little demand at all. And so we've gone through the stage of filling up the -- I mean, literally filling up the beams both from ViaSat and Hughes, of the most popular, which we had 2 or 3 or 4x as much capacity in those markets. So you saw pretty good trends there. Now we don't have the luxury of selling into those beams, although we're getting the cash flow from those beams, which is great. And the sooner you fill them up, the better. But we're more focused on those 50% of the beams that aren't full, and that takes a little bit more effort, and there's just not quite as much demand there. But we can improve the product with speed and amount of capacity that people get. And so we're going through that stage of, from a marketing perspective, not treating all company -- all customers equal and going into those beams that aren't full and giving people actually kind of more bang for their buck, so to speak, and so we're going through that, and that will help. But what really will help will be the launch of the next Hughes satellite, which is just over a year away, and the next ViaSat satellite, which I think is about 1.5 year away, because they're going to triple or quadruple the capacity that we have in the beams that are full, which will kind of open the market back up for us. So it's -- we're fortunate that there is demand for satellite broadband, that it is a product that has a niche in the marketplace. It is a product that has several million customer potential, and it's a business that has pretty good cash flow.
Operator: Your next question comes from the line of Jason Bazinet from Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: A question for Mr. Ergen. Your investors today that own your stock have a mature cash-generative business and then a raw asset in the spectrum. And my question is, as you migrate towards doing something with the wireless spectrum to turn it into something cash generative, do you give deference to what that would do to your stock in the near term? Or as you're thinking about making decisions, do you sort of say, "Look, either you're with me over the long run or you're not and I don't really care what happens to my stock price in the near term, we're just going to do what's right?" And if you do care about what happens, the way The Street reacts to whatever decisions you make, are there certain principles or guideposts that you can share with us of things you could pursue to make that transition less painful for your investors?
Charles W. Ergen: Yes. Well, I don't think I'll say anything different that will surprise anybody. But obviously, as a large -- or probably the largest shareholder of DISH, we look at things and we look at things long term. And we certainly do care about the price of the stock. And we like to make good business decisions. But we do -- we're fortunate as a company that we can make longer-term decisions that maybe perhaps The Street doesn't see or investors don't see initially but that people see the value in longer term because we can see things. Obviously, we have a bit more information in terms of how our business runs than perhaps people in the outside looking in. So we care about the stock. We care about the consumer. We care about our employees. We probably first look at consumers, we then look at employees, and we think that's good for our shareholders, and then we look long term. And so the -- all I can give you is the history that the stock, since we've gone public, has appreciated at more than -- compounded more than 20% a year since 19 -- whatever '96 or whenever we went public, '97?
Thomas A. Cullen: '95.
Charles W. Ergen: '95. So 19 years. That's a pretty admirable record to have. We don't see that changing. Although there'd be some years we go -- maybe we go down or we go up. We're not -- we don't really cater to the fund that wants to make a quarterly profit. We more cater to the persons that are long-term investors, and so I think we reward our long-term investors well. I think we'll continue to do that. But it would be incorrect to say we don't care about our stock price. It would be incorrect to somehow say that our stock hasn't done well. But just a big picture, I like where we're -- strategically, I like where we're positioned. We have a nice solid business. It generates a lot of cash. But we had made a strategic decision 5 or 6 years ago that there was -- that, that business led to other businesses that were video-dependent, right? And we had a core competency in video, why not expand that into things like wireless and broadband? Why not do that? And so we've done that, and so we're not a one-man band. We're not a company who's only got 1 asset. We're not a company who's only got -- we're not a 1-trick pony, and so I think we're well positioned for what I see happening, which is video being a huge consumer of data, both on a fixed and wireless basis, both inside and outside the home. And I think working with our programming partners, we're in a different situation today. We're working with -- where for the first time, we can talk to programmers about how they can make more money as opposed to just what price we pay them on satellite. And so that's a -- so suddenly, you start working on things where both of you can make money that you're not making today, that's a better conversation.
Operator: Your next question comes from the line of Phil Cusick from JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: So can you give us, Charlie, an update on your over-the-top efforts? How is it going getting content for that? And is that still something that could launch at the end of this year? And then help us think about the impact, I guess, the early impact of turning off the Turner channels. Is that similar to the zombies last year? Or better or worse?
Charles W. Ergen: First, on OTT, we still plan to launch a product before the end of this year. We continue to have -- several major programmers signed up and a lot of interest with some others. We won't sign up everybody because it's kind of a skinnied-down package. So we're going to make sure that we can meet the price point of consumers. We are having some technical issues on our end and some on our programming partners end, in terms of now that we're getting the signals, to put all those signals together and to be able to insert dynamic ads is a fairly complex product -- project, even though we've been working for it for a long time. We're now actually doing it, and when you start doing it, it's not theory anymore, it's actual practicality. And so we are running into a few snags there. But we still plan to meet the year-end -- our self-imposed year-end deadline. But whatever we do, we're going to do it right. I think it's going to be a good product. I think it's going to be a good product for our programming partners, and I think -- I don't think it's going to change the world in the first few months. But I think that it's something that has a long-term path trajectory. And we don't have all the answers, quite frankly, on how the best way to do it is. And so that's why we spend a lot of time with our programming partners to discuss what might work. We also see other strategies out there in OTT. So you see Sony taking a materially different strategy, which is to pretty much sign up -- just to give the whole programming package to people, so very similar to what we do today, except do it through OTT. That's a different strategy. HBO's talked about a different strategy. CBS has talked about potentially a different strategy. So some of those are going to make sense, some of those are going to work, some of those aren't going to work. We hope that our strategy works. And it's not easy to do. It's a lot more than just putting a package out there. There's a lot of technology. There's intellectual property. There's the devices. There's operating system and ease-of-use for consumers. There's billing, there's encryption, there's ad insertion, so there's a lot of pieces to it. But it's very similar to what we did years ago on satellite, a lot of complex things have to come together on that. And then second part of the question was...
Joseph P. Clayton: Turner.
Charles W. Ergen: Oh, Turner. Well, we're disappointed that Turner did not extend the contract -- or contracts. So they did come down. Obviously, when we take something down, we're prepared as a company to leave it down forever. And fortunately or unfortunately, things like CNN are not quite the product that they used to be. You can imagine CNN down on an election night would be a disaster 15 or 20 years ago. But now, it's -- there's plenty of other places for people to get news. In fact, a lot of people get news from -- not from TV anymore, they get it from their devices. So it's not had a major impact on our business yet. I do expect we would ultimately lose some subscribers without Turner programming. We certainly would prefer to get a deal done. But we -- but it -- we have a time frame that we look at, and there comes a point in time, certainly during this month, where if we don't have a deal, we just make a long-term decision to go a different direction. I think you've seen other people do that. I think one of the cable companies did that in relation to Viacom. It's not -- this is not -- I think the industry is changing, so I'm going to give a long-winded answer here. But the industry is changing in a sense that because of the different methods of getting content today, there's about 10 big programming groups, right? The 4 networks, and there's certainly Time Warner, certainly Scripps and Discovery and Viacom and Univision and A&E, and I'm probably leaving some other people out, AMC. So that -- I don't anticipate that the cable companies, satellite companies and phone companies are all going to carry the same 10 groups like it -- it doesn't -- it's not going to be a marketplace where everybody has exactly the same thing and it's just about a price. I think some people are going to say, well, they'll gear more towards families and kids, some people will gear more towards sports, some people will gear more towards general entertainment. And you're in a situation now, for example, with Turner, do you not do a -- if Turner -- we can't -- if we're not going to be in a relationship with Turner, we would not have to raise our prices next year, all right? And that would be slightly cash positive for us from a cash flow perspective. And yes, we'd lose some customers, but we'd save a big, big, big check from a cash flow perspective. And for those people who don't really care about news or cartoons, where we have other news shows and other cartoon shows, would they rather save the money? There's a pretty good chance that they would. And so I think in regional sports, at some point, somebody's not going to carry regional sports because everybody in the marketplace doesn't watch regional sports. And so you'd have a price advantage if you didn't carry regional sports. So I just think that -- I think there's going to be more diversity, particularly when you can get cartoons on -- from Netflix, right, or you can get news from the Internet or you can get a TV show a week later or you can binge-view all the shows in a way that you can't do easily on TV as we do it today. So the world is changing, and some people are going to change with it. And some people are going to be fast followers and some people are just going to do -- just figure it out after somebody tells them what they should be doing. And Disney has been the leader, right? You saw another announcement today where they -- where they're doing something really smart, right, which is you buy a movie from Disney, it will work on Android and it'll work on Apple. So you can watch it on all your devices, whether Apple or Android, without having to pay for it again. Well, that makes sense for a consumer. That is real technology. That's real smart stuff. And I would anticipate that other content people will do smart stuff. And we -- we're going to work with those people who want to do new things and want to do -- to try new things. We hope Turner is going to be one of those. Well, I'm sorry for that.
Philip Cusick - JP Morgan Chase & Co, Research Division: That's all right. This might be a little early, but we think you have CBS coming up toward the end of this year. How does broadcast fit into that ecosystem of must-have or options?
Charles W. Ergen: Well, we don't talk about particular contracts unless it's something like, in Turner's case, it's down so everybody knows about it. But certainly, we've had a good relationship with CBS. Certainly, CBS is a core product when it comes to -- but it's -- CBS, for us, it's an owned and operated station so it's not something that has the impact of Turner -- that Turner would have, where it affects our consumer base across the whole country. And it's interesting because one of the dynamics there is CBS channels are now available over-the-top. So there's an alternative for customers. So on the one hand, that's an interesting business plan. On the other hand, it makes that product less interesting for MVPDs because customers have a choice to get it somewhere else, and not everybody watches that channel, right? Having said that, I think CBS, from a network perspective, I think, has the highest ratings. They certainly have -- I think that they've done a marvelous job with content creation. I think they're the best at that, have been the best at that and certainly are a valued partner, so I would certainly think that they'll -- that you'll see them on DISH.
Operator: Your next question comes from the line of Amy Yong from Macquarie.
Amy Yong - Macquarie Research: 2 quick questions, one just following up on Jason's question and talking about your stock. You've had a $1 billion share repurchase plan out there for some time. What other factors would make you want to exercise it? And my second question is just on the regulatory changes around broadband and net neutrality and how that might impact your streaming opportunity going forward.
Charles W. Ergen: Yes, we have a stock repurchase plan for $1 billion. It's really out there in case the market were to look at things in a way that we think might be short term or -- we wouldn't buy back -- we'd only buy back our stock if we couldn't find something else to do with our money or if we thought the stock was severely undervalued, right? We wouldn't want to buy it back if it was overvalued. So that's why it's out there. I don't anticipate that we're going to buy back stock given the many, many things I think we can do with our capital today that I think will return a greater benefit to our shareholders. But if we -- but certainly, to the extent that you get to a point where you don't have other things to generate value for your shareholders, certainly, it could make sense to buy back your shares under those conditions. And that's why we have a buyback plan there. But we haven't -- I don't think we've done anything on -- in 2 or 3 years because I think we've seen other areas to invest in. On...
Joseph P. Clayton: Regulatory.
Charles W. Ergen: Regulatory. Certainly, net neutrality is an important -- I think it's an important -- it's important to think about it for all consumers. It certainly is important when you think about an over-the-top business. It's certainly an important thing when you think about how we might compete in the marketplace out there. I think it is probably the -- it's the one thing that would probably change our thinking a lot if the Internet wasn't open and that a company like -- we openly are against Comcast-Time Warner. And the reason is they'll control over a majority of the high-speed broadband pipe in America if that merger goes together. That's a national product and there certainly could be a lot of mischief. And it's been shown that conditions just don't work with Comcast. We're still waiting to try to get regional sports in Philadelphia. We're still trying to get OTT rights, even though those conditions that they have to give those things to us. I think for example, Bloomberg, Bloomberg just wanted to put their channel by the news in Comcast. It was a condition on the merger. I think it took them 2 or 3 years of fighting and scrapping just to get a fair placement in the news category. You just don't want one company to control -- have that kind of power over the Internet. And so I think that's a -- that is something that would keep us up at night if something like that were to -- if there would be, I mean, an unregulated marketplace for broadband.
Operator: Your next question comes from the line of Vijay Jayant from ISI.
Vijay A. Jayant - ISI Group Inc., Research Division: Talking about the need for possibly segmentation, whether you want to do sports or something else. Can you really talk about what your personalized subscription service is really targeting? I know it's a skinny product, but you've got some of the most expensive channels like ESPN on there. So is there a niche that you're targeting with that product, apart from the fact that it's the millennials or cord cutters? But is there like a target segment that you could sort of identify? And then just on your comments on the Turner channels, obviously TBS and TNT were not part of that. How would you sort of characterize those channels? And is that sort of connected to the cartoon and the CNN channels being off air?
Charles W. Ergen: Yes. So on OTT, we really target the 18- to 35-year-old who's not paying for TV today. It's going to skew a higher -- it's going to skew, short term, more male. It's going to skew more urban. It's going to skew more apartments as opposed to homes. And it's certainly going to skew towards sports enthusiasts. And it's going to be a really good product, and there's going to be some advantages to OTT. It's going to be a media product. You don't have to wait for an installation. It's going to be a product that you don't have to worry about recording things, and things are going to be available on the cloud, so -- from the cloud. So it's going to be a little bit more user-friendly, I think, for consumers, and it's going to tie in to your devices. So these are all things we have to learn, right? We have kind of theories about how it all works. My experience has been that some of our theories will be right, some will be wrong. Where we're wrong, we're going to change it and overcome the consumers' objections and then see whether we can grow the pay-TV market in terms of revenue and subscriptions and number of people participating. And that's really the objective. We don't see it going after -- we're not going after the guy who spent $100 a month and got a house and 4 TVs and 3 kids, and he's 55 years old. That is not the target market. On the...
Joseph P. Clayton: TBS, TNT.
Charles W. Ergen: TBS, TNT, certainly to the -- I'm just going to guess that if I were Turner, that if you're not going to carry my CNN and Cartoon Network, that I'm not real excited when your contract's up for you to carry TNT and TBS. They typically try to package all -- bundle all those things together. So I think we have to be prepared that those channels will come down as well. And again, those will be more painful. In fact, I mean, Joe, you're the guy that's getting caught -- I mean, it really has been almost a nonevent at this point.
Joseph P. Clayton: Yes. So far, we haven't had any major churn aspects. But I do believe the popularity of TNT and TBS would force that to change. Think about the NBA on TNT, it's much more popular with our rank-and-file consumers. So, so far, not an issue. Going forward, it would build -- TNT and TBS would cause a major hiccup.
Charles W. Ergen: But a lot of their programming is available elsewhere. It would be a little bit tougher if their original programming was a success like AMC. But their original -- in fact, I don't know of an original program that they have that's in that category. And so a lot of the rerun stuff is available on other avenues, even the NBA's going to be -- a majority of it on ESPN and the NBA network. So -- and even things like the Final 4 stuff are on the Internet now. So that's what I mean. When you start having your product being available from a lot of different sources, customers don't want to pay for it twice. And sometimes, they're willing to watch it the next day or the next week in a more convenient structure because young people aren't -- they are not watching stuff live now, so -- except ESPN. So it's -- here's the way I'd look at it. Mathematically, we're probably not going to be able to carry all the 10 major people long term and -- because we just don't want to raise prices to $100 a month, right? And so when you do that, somebody is going to drop off. We don't want any of our programming partners to drop off, but they'll self-select. And somebody's going to drop off and we'll keep our prices lower. And we'll lose some subscribers, but we'll net-net be cash flow-positive on it, which is how we look at it. I hope it's not Turner because Turner was the very first company who signed with us in DVS. So that's like the last -- it's one of the easier ones to take down in my opinion, but it's like the last one I personally want to take down because they're the guys that helped us get in business. And I'm a pretty loyal guy, right? I would bend over backwards for Turner because they helped us get in business, right? But we're not -- we have a responsibility to our shareholders not to do stupid deals. And it's hard when people's view -- we realize we have real viewership, right? So we know how many minutes people watch CNN, and we know how many minutes they watched CNN 5 years ago. And it's hard when somebody wants a price increase, double-digit price increase for something that people are watching half as much as they used to watch. That just doesn't make sense. And it's not -- it's Turner's job to make their product better, not ours. Ours is to make their product more convenient for the consumer at a fair price, but they've got to make their product better. And when they make their product better, they get more money for it. And if your products not as good as, you can't expect to get big increases because that model doesn't work. And I don't want to really pick on Turner. I think everybody's got that same issue.
Operator: Your next question comes from the line of Lee Cooperman from Omega Advisors.
Leon G. Cooperman - Omega Advisors, Inc.: Just for the record, Charlie, I'd say that I wish I had more guys that I could invest in with like you, so I'm fully prepared to put my clients' money and my money in your hands. My question relies around tax efficiency. We have no idea how spectrum will ultimately be used by DISH, or whether you sell some, keep it all, whatever. But have you thought about putting spectrum into a separate vehicle, where if a transaction occurred, that it would be much more tax-efficient for the -- for DISH?
Charles W. Ergen: Yes. That's as far as I can go. I'm looking at the attorneys, they're giving me the ax, but the answer is yes.
Leon G. Cooperman - Omega Advisors, Inc.: Okay. Well, good. I assume that you did and you are, and again, I'm more than happy to let you figure it out and do all the heavy-lifting.
Thomas A. Cullen: Yes, Lee, this is Tom. I guess I would just say, we believe OTT spectrum and the core DISH business belong together at this point. But of course, we evaluate various structures that we could entertain, depending on how the market breaks.
Leon G. Cooperman - Omega Advisors, Inc.: Well, I may be off my rocker, but I think the spectrum you have could be worth as much as the entire market value of the company presently.
Charles W. Ergen: We can't comment on that one. I know I can't comment on that one. But I think we did spend -- I do think that if you go back to our last conference call, which was, what, August -- what month are we in now -- August or whenever that was, I think we articulated where we think things go.
Operator: Your next question comes from the line of Ben Swinburne from Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: I'm not going to turn this into a Time Warner call, but I wonder if you have any thoughts on HBO's plan to go over-the-top and how as a distributor of that product -- and it's a different product than the basic cable network, given that you participate in the revenue, how you feel about that move? And what DISH's response, if anything, might be there? And then on the PSS over-the-top service, Charlie or Joe, do you have a return target in mind? Or maybe even qualitatively, can this be as good of an IRR business as the DISH TV business? Because when we look at the gross margin at an attractive price point for the millennial, it's sort of hard to see a lot of gross profit dollars in the OTT space. If you look at Netflix, their churn is probably double your's monthly, and they don't make a lot of money on a gross margin basis. So at least today, how are you thinking about the return profile of that asset?
Charles W. Ergen: Well, when you -- this is Charlie. When you look at total return, we'd look at it and would anticipate that it would be as good or better than our core business. You're right, the margin will be less. I think that's true. The churn will be higher. I think that's true. The counterbalance from that is that there -- you're not going to have $800 a SAC. In fact, your SAC will be very low to get a customer. And your -- most of what will be done there will be on the Internet, so your actual variable cost per month to service a customer is much less. So you've got a kind of a different financial model, where your ARPU margins are a little bit less but your SAC is materially less. When you run all the numbers, to the extent that you're getting incremental subs, it makes sense. Second part of it is that the advertising opportunity, I think, is immense in OTT, not in 2015, but as you go forward, because we can just -- we can stream a personalized ad to everybody. So -- and working -- again, working with the programming partners and working with the data that's available and working with the event that we can send everybody on this call a different ad when they're watching means that we can start moving into some of the categories that the Facebooks and the Googles of the world are taking advantage of today. And so I think that's another dynamic. I think the advertising piece of OTT is materially higher than it is in linear TV, where with the advent of DVRs, we've said from day 1, people do skip commercials. And so rather than fight -- rather than swim upstream with that, we'd rather come up with a different dynamic that attacks it in a different way.
Benjamin Swinburne - Morgan Stanley, Research Division: Any comment on HBO?
Charles W. Ergen: Oh, yes, HBO. I mean, Joe may want to pipe in here. But the -- I mean, I think everybody's searching for how they can monetize their content. And I certainly don't blame HBO for taking a look at that. As far as -- we have to wait and see what their -- obviously, what their plans ultimately will be, and when they're going to do it. And again, we're -- the way we would look at that is if they're just going to compete with us, then that's probably not that attractive to us. If they want to work -- we want to work with all those people who want to work with us. And if they want to work with us, we think we add a positive to that dynamic because it's not just about putting your -- it's not all about just putting your product out there, there's a lot of things that go into it. So we think we can be value-added as they move forward, but I'm sure we'll have those discussions and I'm sure they'll go whatever route they think is best for their company. And we hope that DISH and our industry is involved in it because I think that's -- I personally think that's the best way to do it. But I think people will go different directions and go do different things and some will work and some won't. I mean, Starz went a different direction with Netflix way back when. I think it hurt them in the long run. Wrestling has gone a different direction. I think it's hurt them in the short run, I don't know if it hurts them in the long run. But I also know that management has to do what they think is right for their shareholders and their company. And that -- I'm sure that they're well managed. And so I'm sure that Time Warner will make some good -- will make good decisions.
Operator: Your next question comes from the line of Tuna Amobi from S&P Capital IQ.
Tuna N. Amobi - S&P Capital IQ Equity Research: My first question is on broadband churn. I think you alluded to capacity constraints. I wasn't sure if that was also a factor in expanded churn. If you can provide some color as to where the customers are churning to? And if the changes -- if the new satellite launches that you mentioned earlier would also be expected to reverse the churn, that would be helpful. And I have a follow-up question.
Joseph P. Clayton: Okay. This is Joe. I'll try to handle that. I'd have to say when we first started with the launch of dishNET broadband about 15, 16 months ago, we probably didn't do the best job of qualifying our consumer base. For example, if you're passed by fiber right in front of your home or cable, this is probably not going to be the best product for you. It is much more attuned to rural America, where there is slow-speed Internet or no Internet capability at all. So I think we contributed somewhat to the churn ourselves by taking on some customers who indeed had better alternatives available to them. We have since started tightening that requirement in qualifying a person when they call up to our call center. And then also, in terms of being a little more operationally efficient in terms of the install on the locations of where the customer base is at. Those productivity improvements have been in place, and it has contributed to our churn, higher than we would have expected. But indeed, it is starting to come down with the initiatives that we put in place. And we expect to be lower by this time next year. And when the new high-powered satellites are up in about a year, as Charlie said, it will free up a lot of the capacity constraints, which is also holding back our sales growth. So I think it's a combination of 2 things: capacity constraints and churn. Actually, some of it precipitated by our not qualifying the consumer properly at the outset. I hope that helps.
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay. That's helpful. Just on that second point, just to be clear. Are you suggesting that there might have been some quality-of-service issues when you talk about customers that had better alternatives, that you didn't prequalify the right way?
Joseph P. Clayton: Well, if somebody -- if a customer is going to be -- get 250 gigabits and all we can offer him is 20 or 30, and he's going to be a streamer, he's going to download a lot of HDTV movies, he's going to be a gamer, he's going to have better alternatives than what we offer.
Charles W. Ergen: This is Charlie. It's a -- selling broadband is a more limited product. It's a product that probably is the best thing for maybe 5 or 10 million homes out there. It's not the best product for 100 million homes out there, right? And so we have to do maybe a bit better job of explaining that to consumers on the front end. They're happy with the speeds. What they're not happy with is the amount of capacity, where they may only get -- if they only get 20 gigs or 40 gigs of product, there are customers who use more than that. There's plenty of customers who use just 1 or 2 gigs, right? So -- particularly in rural America. But there's people who use more, and we have to do a better job of -- that would be the #1 complaint, which is I love the product, except I don't -- I ran out of capacity on the sixth day of the month, right? And that shouldn't be a surprise to people. We can do a better job up front with that. So the new satellites will help. The second thing is -- just so you know where it goes strategically, Tom may want to talk about this. But the other piece of it, to the extent that we can do fixed broadband -- and again, we don't have a major initiative out there other than the test that we have today. But to the extent we can do fixed broadband, those customers who want increased data, that's a really good place for them to go, right? And that also fits kind of in small-town America, where there's not -- where the -- where they don't -- where they're not getting super high-speed fiber broadband today. And that's a pretty efficient place to go. When you put fixed broadband with satellite -- fixed terrestrial broadband with satellite broadband, the same marketing is done for both of them and you can give the -- you can rightsize the customer, put in those products. I don't know, Tom, do you want to...
Thomas A. Cullen: Yes, again, cautious about the auction, so I'm somewhat limited in what I can talk about regarding the wireless trials. But I was -- as I think most of you know, we have a trial going on with both nTelos and Sprint. I was out in customer homes about 10 days ago, meeting with people that have had the product now for a few months. And they're very pleased with it. They're pleased with the speed. They're pleased with the service and the choice. So the experience is good. We're optimistic about the efforts, and we're still learning. As I've said on previous calls, it will take us a while to load up the networks and pistol-whip the business models and understand the marketing and installation challenges. But those are things that we've seen and tackled before. At this point, we're not sharing numbers. But I will tell you that we're training more installers and we're sending more installation resources into both of those markets. We're seeing some positive attachment rates in terms of DISH bundling. And we're learning things. For instance, we know that the CPE can be improved, both from a cost standpoint and from a design standpoint, where we can make a smaller unit that will give us more installation options. So I guess at this point, I'd say we're encouraged by where we're at. The customers like it, and we have a very good relationship with both partners.
Charles W. Ergen: And hopefully, we'll get -- since Steve is -- since this is Steve's first rodeo as the CFO, hope I get a financial question because I'd like to see if he can answer the question. A lot of things we do here is train people, right?
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay. Just a quick follow-up, Charlie. I think you said that your OTT offering is going to skew a little bit of sports, when you were kind of mentioning or talking about that in the earlier question. And given the environment of the sports program in the context of some of the recent deals that were signed recently, I was wondering if you could comment generally on the sports offering and your strategy there. I think you've -- in the past, you've kind of passed on a lot of the deals. So I'm wondering if -- how you see the current environment for sports and how that kind of might play to your strategy there, especially on the OTT side.
Charles W. Ergen: Well, I think for sports, where sports is reasonably priced, we're going to carry it. And realize that that's a relative term, reasonably priced, because sports is an expensive product for the content writers to pay for, right? So everything in sports is going up. But because we have real viewership measurement, right, we have a feel for what sports is worth for our customers, right? And that may not always coincide with what somebody paid for the rights. And if somebody pays too much for the rights and then comes in and says, "We got to cover our rights fees," -- so the Dodgers is a good example, right? There is no way the Dodgers are worth more than the Yankees. Next question, right? I mean, there's no way. So if somebody comes in and says, "We want more of the Yankee prices," for a product that less people watch, nobody in this call would do that deal, right? And the only way you do that deal is if you own the team, right? So I just think we have a -- we have to make hard choices with real economics and math and real data that says this is about the value of what that is. And we're not -- if we lose some subs next quarter because we don't carry a product, but it's the right thing to do and increases our earnings and our cash flow, right, that's a decision we're going to make. We're not going to -- it's not like Joe is not going to get a bonus if he does the right thing on subs, right? That's not the way we operate. So we're advantaged in that. And so I -- look, I think Disney is the most important person -- company in sports, right? And I think that you start with that. And then I think there's other people around Disney that are important. But if Disney wants a sports product, if they want the Olympics in -- they can afford to pay. If they want the NFL on Thursday nights and Saturdays and Sundays, they can afford to do it. So they get first choice at everything and then -- because they have the highest right -- they have the revenue from distribution, they are fully distributed. So you start with Disney and then you work -- you fill that in with whatever your strategy is.
Joseph P. Clayton: All right, operator. We have time for one more question from the Wall Street community.
Charles W. Ergen: And, hopefully, it's a financial question.
Joseph P. Clayton: And then we'll move on to the press.
Operator: Your next question comes from the line of Tom Eagan from Telsey Advisory Group.
Thomas William Eagan - Telsey Advisory Group LLC: Last month, a federal judge ruled in favor of DISH in the AutoHop service case versus Fox. If you could just share with us what's next here? Like how does that help DISH negotiate with CBS? And how does that help you guys negotiate with programmers regarding the OTT service?
Charles W. Ergen: I think it's pretty -- I mean, I think it's pretty irrelevant. I mean, it's -- I think there was a lot of emotion about that product when it came out. But people realize that people skip commercials, they skip on our service, they skip equally on everybody else's service. I don't think that's -- I just don't think that's -- I think there was a lot of emotion around that when it came out. But I think it's -- the practical effect of that has been overestimated, I guess. I don't -- right? I mean, at this point, look, we're going to fight for consumers. And if we don't fight for consumers, nobody else will. And we're probably one of the few people in this industry who fight for consumers, whether it be spending 3 years in Congress to get local-to-local, when everybody was against us, or whether it be for the right of consumers to watch TV in a good manner or watch multiple shows or watch shows on a tablet or skip commercials. I mean, we're going to fight for those things. But we're also cognizant that we are in a dual-revenue-stream model. And if advertising revenue is severely hampered, they got to raise their rates somewhere else. And so what we've argued since day 1 is we're not against the advertising model, but the model that we're doing today doesn't work and it's painful for consumers and so they skip commercials. Why don't we do a different model, where the consumer actually gets a targeted ad that's more meaningful to them, that you actually make money on and they actually watch. That seems like a better model, and that's what we worked with the content people who want to work with us, right? We're showing -- we have technology that does that. And we're working with them, with very, very good results. And so I think that's a better mousetrap. And we might not have done it exactly the right way, but I think we're on the right path as it comes to a good advertising model with our partners.
Thomas William Eagan - Telsey Advisory Group LLC: And then I have a quick follow-up. Next in early to mid '15, where the Comcast and deals with DIRECT are potentially closing, there should be a huge amount of systems [ph] that are going to be transferred between operators. So wondering, is this going to be fertile ground for DISH to be able to poach customers? And so if you could just give us some sense of how DISH is going to be positioning itself for that?
Charles W. Ergen: Well, I mean, I think the mergers are always an opportunity for -- it's obviously distractions for companies, right? So I think in that sense we should be advantaged. And I think there's also an advantage. If I'm a programmer, I'm scared to death of those 2 mergers and you -- because the dynamic changes, right? The dynamic changes from the programmer coming in saying, "We want a double-digit rate increase," to those really big guys coming in saying, "We want a double-digit price decrease," because you can't afford 30 million people going down and you can't afford -- if you're a network, you can't afford 60% of your customers going down in Philadelphia, right? And so the dynamic will be much, much, much different. And so in that sense, forward-thinking content people are going to make sure that DISH is successful, right? They're certainly going to want to work with us, I would think, right? Because if you don't want to work with us, God forbid, I know -- it's just human nature, if you have 30 million subscribers, you're 1/3 of the business, your hammer is a little bigger than if you got 15% of the business. I mean, it's some kind of inverse relationship, but I'd assume your hammer's about 8x bigger. It's probably what the math works out to. So I think the dynamic is interesting, and hopefully, we can take advantage of things. All right. I think that was the last one, even though we didn't get a financial question. And maybe the press will ask you a financial question, Steve.
Joseph P. Clayton: Operator, if the press is not queued, we could do one more. Where do you stand? Operator?
Operator: We will now take questions from the members of the media. [Operator Instructions] Your first question comes from the line of Liana Baker from Reuters.
Liana Baker: I was wondering if someone could talk about how EchoStar and the technology coming out of that side of the business and that company helps the wireless vision or efforts at DISH.
Charles W. Ergen: This is Charlie. I mean, that's a very good question for their conference call later in the week. But essentially, EchoStar as a company has tremendous engineering capabilities, right? And those engineering capabilities -- they virtually have invented every communication with the satellite, so all the protocol to go up to satellites and the modulation schemes to go to satellites is an EchoStar product. Those same modulation schemes and technology are very similar to what you do terrestrially. So there's good expertise there. Certainly, RF experience is necessary, so there's good expertise there. Certainly, there's things like intellectual property that's important, where they certainly hold a number of -- hundreds of patents and so forth. So -- and they also are world-class when it comes to digital design. So I think that -- I think they have a -- regardless of DISH, they have a bright future in the wireless business. And certainly, things like OTT is -- I mean, you can probably talk about OTT better than I can, Joe.
Joseph P. Clayton: Well, you asked a wireless question, Liana. But in terms of the OTT business, which we're getting ready to launch, Charlie said it earlier that it is a complex business. It's the streaming and the ad insertion capability. EchoStar bought a company called Move Networks about 4 years ago, which I'll call, has the secret sauce that provides a smooth Internet streaming capability for customers. And it's called adaptive bit rate technology. Of course, they have patents and intellectual property capabilities that came with that. That will help us have a first-mover advantage from a technological standpoint when we launch our new service here shortly.
Operator: Your next question comes from the line of Shalini Ramachandran from Wall Street Journal.
Shalini Ramachandran: So I just want to make sure crystal clear, is your -- how much did HBO's recent streaming announcement factor into why you guys decided to drop the Turner networks, if at all?
Charles W. Ergen: Yes, this is Charlie, 0. None. I mean, it was -- in fairness to Turner, we've got a new team since Steve is -- was Head of Programming, he's now the CFO. So we have limited resources here. And Turner, themselves, has a new team, right, in terms of executive management and so forth. So you end up with a different set of dynamics than you might have in a normal negotiation. But HBO announcement really has -- I think they run those 2 companies separately. And we look at them -- our customers look at them separately. They're apples and oranges for our customers. And so that's -- if our customers look at it in apples and oranges, that's how we look at it.
Shalini Ramachandran: Okay. And one more thing, if it's an answerable question, about LightSquared. I just want to make -- understand, is it possible for DISH to use the spectrum, whatever spectrum you acquire personally, through LightSquared in any way?
Thomas A. Cullen: Hey, Shalini, it's Tom. Same answer as earlier. It's not appropriate to talk about LightSquared in this forum, and we're not -- and we're very limited in what we can say about spectrum, period.
Operator: Your next question comes from the line of Alex Sherman from Bloomberg.
Alex Sherman: 2 questions, first one is really quick. In terms of an OTT price point, are you guys still thinking about $30 a month?
Charles W. Ergen: Alex, this is Charlie. We haven't decided yet, but that sounds in the ballpark. I mean, I think it's something around -- I think that something along $1 a day is kind of what the marketplace -- so that limits how many channels you can put in, obviously, when you got some sports channels in there that are pretty expensive.
Alex Sherman: Okay, good. Second question, Charlie, talk about the M&A landscape around you as you see it going into 2015. You sort of alluded to it in the last analyst question there. But if Comcast-Time Warner cable goes through, and AT&T and DIRECTV, do you expect more programming consolidation over the next 6 to 9 months? Or do you see more international competition coming into the U.S. in either wireless or content?
Charles W. Ergen: Every strategy, there's a counterstrategy. So I think that as M&A -- I think -- those 2 big transactions that are in front of the government today, depending on what happens with those, will drive other things. And I don't know whether those mergers will be approved or not. I would say that Comcast-Time Warner has -- is more problematic for consumers for sure. I've never seen as many consumer -- not complaints but consumer...
Thomas A. Cullen: Opposition.
Charles W. Ergen: Opposition to that. And it's control of the broadband business in the United States, so that one's got definitely more issues. But that would drive other things, right? And certainly, even AT&T and DIRECTV will drive other things. We probably won't -- Alex, we probably won't be able to participate since no banker wants to work with us.
Alex Sherman: Well, thanks for reading, Charlie. I appreciate that. I think you guys will find your way.
Charles W. Ergen: Well, that was a great article, but next time, Alex, talk -- if you really want a good article, talk to our bankers because our bankers will talk on the record. They don't gossip. They will talk on the record. Bob's here. And you didn't -- so he's going to be pissed at me for saying anything to you. But you've always written good articles, Alex. And I was disappointed that you'd spend more time gossiping and less time taking quotes from our bankers.
Alex Sherman: Well, not all your bankers will speak on the record.
Charles W. Ergen: The ones I gave you will. Anyway, it's not -- you've always written good articles, Alex. I've always appreciated what you write. And I do read what you write.
Operator: Your next question comes from the line of Mike Farrell from Multichannel.
Mike Farrell: I just had another question about OTT. Charlie, I mean, earlier, I think on the analyst call, you kind of mentioned that you envision kind of a landscape where not everybody will have the same kind of group of networks. Do you kind of foresee a future with all these other guys, and yourself included, kind of specializing in different niches, I mean, where DISH could be like the entertainment OTT company or somebody else could be the sports entertainment OTT company?
Charles W. Ergen: Well, I'd say a couple of things. One is DISH wants to work with those people who want to work with us, right? And we'd have a feel for what the value is of things. So maybe there could be honest disagreements where somebody thinks something is more valuable than we would -- while we might both want to participate, that just -- the business deal can't be done. There'd be some cases where people want to go direct or don't want to participate with DISH and then there's people who do want to participate with us. And we think we bring a lot to the party in terms of the technology and the -- all the things that we've worked on to put in place. And so I think that's one way that's going to happen. And so I think you'll see different strategies for the content provider. And sometimes the content provider will sell it to a third-party who will put it in an OTT package, right? So you -- that's what happens with Netflix, right? Somebody sells movies to them and they put it in a package. So I think you'll see varying degrees of content strategies. And again, we don't have all the answers. We're just trying some things based on our judgment that will work. As far -- we've already seen Suddenlink -- I think we've seen instances of Suddenlink as -- that looks to me like as -- I don't want to put words in Suddenlink's mouth, but it looks to me like they may have permanently dropped Viacom from their networks that -- and certainly, there's been talk of DIRECTV and AMC in a contract dispute. Obviously, we're missing CNN today on our network. So you're just starting to see those rumblings, right? And I think that if you can go get content -- if you can go get news somewhere else, it -- 20 years ago, CNN was a must-have. It's not a must -- it's not a top 10 network today anymore, right? Unless they find the plane, the Malaysian plane. So you just have to see how those dynamics change. And I'm a -- I like working with people I like to work with. I like working with people and companies who want to try to go the same direction that we want to go, right? And it's not very much fun at my age to work with people who just want to have a contract and follow you around with their contract all the time. So I like -- we're still trying to invent stuff and make products better and still trying to use technology and be in the 21st century. And those people who want to be there, I hope we have good relationships with.
Mike Farrell: Just a quick follow-up. Are you seeing in any -- I know you can't talk about specific negotiations, but are you seeing programmers in general being a little more open to unlocking the bundle for OTT?
Charles W. Ergen: Yes.
Mike Farrell: Or are they digging their heels in saying, "We got 20 networks, you're going to pay for 20 networks?"
Charles W. Ergen: They all have different strategies. But in answer to your question, in general, there's -- most programmers are pretty open to trying some new things, right?
Mike Farrell: Could that translate to your satellite business?
Charles W. Ergen: It could. I mean, it -- look, I think business is -- business ultimately is about -- I think you have to innovate and try things to move forward as a company, right? And we're in a mature -- the regular linear MVPD business is a mature business, right? So you can't just go back every day and say, "I'm going to raise my rates and make my budget." That's -- you're going to have to figure out other ways -- other revenue streams and other -- and get other people to pay for your product and watch more minutes of your product. And this is -- I'm going to get off the subject here, but the minutes that people watch cable television and the networks today this year is less than the minutes last year and less than the year before and less than the year before that, right? And it's a little bit because people cut the cord, but it's a lot because people are watching Netflix or YouTube or Amazon with the available minutes in their life, right? And if you have 5 hours a day that you can watch TV and you watch Netflix for 45 minutes of that, then you're only watching 4 hours and 15 minutes of TV. And that's what -- that's happening, right? And so the landscape of what you can do in the mature business is different. So you got to think about it differently, right? And some companies are -- I mean, it's no -- I don't think there's any -- it wasn't a coincidence that Disney went first in OTT. They're just more creative there, right? They're willing to try -- they're not scared of technology, and so they're trying some different things. I thought that -- again, I said I thought the announcement today was brilliant on the movies between Apple and Android. Just -- it's just brilliant, right? Whereas everybody else just fights for -- and doesn't take in consideration the consumer. So I -- there's just -- it's a pleasure to work with companies who want to try some things.
Operator: Your next question comes from the line of Aaron Stanley from The Financial Times.
Aaron Stanley: Just in the spirit of Election Day, I wanted to touch base quick on how addressable advertising revenues have sort of fared into this -- the past 2 months of this third quarter. Obviously, this is one of the new trends in political advertising. And I just wanted to see how big of an impact this has had? What type of success has there been, especially since 2012? And where do you see this going over the next 2 years?
Joseph P. Clayton: This is Joe Clayton. I'll try to take that and any of the rest of the guys can jump in. Our ad sales business, our media sales business, has got a great boost this year from our political advertising, if you will, with the interactive ads to the point that here in Colorado, we can't even take anymore advertising. It's already saturated to 100%. This is -- will be a growth initiative for us going forward, not just in the political season but in tailoring ads to the proper consumer base. But this will help our numbers significantly in the fourth quarter this year.
Charles W. Ergen: By the way -- this is Charlie, just to add to that. It's not a hugely material kind of number, the political advertising. We realize we're doing that in conjunction with DIRECTV as well. So it's the satellite industry. But what it does do is prove conceptually that you can do targeting ads that will generate a lot more income. And that's -- that should be good for our programming partners and that should be good for us going forward because we've got real, live case study of materially more advertising dollars in the political arena this year than -- by a large factor, and I don't know what the exact numbers are, but it's -- we probably don't disclose it but...
Thomas A. Cullen: We don't, right.
Charles W. Ergen: Many x numbers higher.
Thomas A. Cullen: That's right.
Charles W. Ergen: Okay, operator, we have time for one more from the media.
Operator: Your next question comes from the line of Scott Moritz from Bloomberg.
Scott Moritz: On mobile video, Charlie, you -- during the Sprint bid, you outlined sort of your goals for what the future of mobile video would look like. I'm wondering now that Sprint is not available, and maybe that's a good thing, if you still see things the same way? And do you still have some options to maybe bring that sort of service to the market?
Charles W. Ergen: Can I answer that?
R. Stanton Dodge: Yes.
Charles W. Ergen: I mean, we still -- I don't think we see things differently, I guess, is what I'd say. But I'd probably give a lot more detail if I didn't -- if we didn't have the Anti-Collusion rules in place. But I think I'll just leave it at that. So that's -- so thanks, everybody.
R. Stanton Dodge: Yes. Thank you, all, for joining the call today, and we look forward to talking to you all next quarter. Have a good day.
Operator: This concludes this call. You may now disconnect.